Operator: Ladies and gentlemen, thank you for standing by. Welcome to the fourth quarter earnings conference call. [Operator Instructions] I would now like to turn the conference over to Steve Sintros, Chief Financial Officer of UniFirst Corporation. Please proceed.
Steven S. Sintros: Thank you, and welcome to the UniFirst Corporation conference call to review our fourth quarter and full year results for fiscal 2014 and to discuss our expectations going forward. I'm Steven Sintros, UniFirst's Chief Financial Officer. Joining me is Ronald Croatti, UniFirst's President and Chief Executive Officer. This call will be on a listen-only mode until we complete our prepared remarks. Now before I turn the call over to Ron, I would like to give a brief disclaimer. This conference call may contain forward-looking statements that reflect the company's current views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties. The words anticipate, optimistic, believe, estimate, expect, intend and similar expressions that indicate future events and trends identify forward-looking statements. Actual future results may differ materially from those anticipated depending on a variety of risk factors. I refer you to our discussion of these risk factors in our most recent 10-K and 10-Q filings with the Securities and Exchange Commission. Now I will turn the call over to Ron Croatti for his comments.
Ronald D. Croatti: Thank you, Steve, and welcome to all who are joining us to review our UniFirst's fourth quarter and full fiscal year of 2014. Our final numbers were released earlier today, and I am pleased to report that 2014 was another year of record results for UniFirst. Steve will be going over both the fourth quarter and full year details as well as our guidance for fiscal 2015 in a few minutes. But first, let me provide a summary of our 2014 full year performance. UniFirst's revenue for the fiscal year set a new record at $1,395,000,000, a 2.9% increase from 2013's $1,356,000,000. Likewise, net income for 2014 also set a new record at $119.9 million, up 2.8% from last year's $116.7 million. Both revenue and profit comparisons were impacted by an extra week of operations in fiscal 2013 compared to fiscal 2014. Excluding the impact of having 1 less week of operations, full year revenue and net income increased 4.8% and 4.7%, respectively. Throughout the year, UniFirst continued to gain market share in existing service areas, entered new geographic areas, added new product lines to our core offering, increased our customers and built upon this current differentiators of our organization. To give credit where credit is due, I'd like to thank our entire management team and our thousands of team partners throughout North America and Europe for undergoing support of our company and for embracing our business philosophies, philosophies that are focused on an unwavering dedication to our customers and their satisfaction. We know it's our people. Those who our customers are facing and those behind the scenes are ultimately responsible for UniFirst's annual growth and bringing return to our shareholders. Our Core Laundry Operations, which make up 90% of UniFirst's total business, led the way with a positive performance in 2014, reporting a 5.7% year-over-year revenue increase after adjusting for the extra week in 2013. This was a new record for this segment. These revenue gains were obtained primarily from record new account sales acquired through our professional field and National Account sales team, continued improvements in operational efficiency throughout our hundreds of local service facilities, positive customer pricing and improved customer retention. Income from operations from our Core Laundries also set a new fiscal year record 2014, increased by 8.9% after adjusting for the extra week last year. This income improvement was largely the result of solid revenue growth achieved for the year, along with sustained improvement in productivity and cost control of our field operations. As for UniFirst's operating -- other operating segments, our Specialty Garment division, as anticipated, had a down year for both the revenue and profits. This group provides workwear and other specialized services specifically for the nuclear and cleanroom industries. The negative performance was largely a result of less project-based and nuclear outage work for the year in the U.S. and Canada. Similarly, our First Aid & Safety segment reported essentially flat revenues and slightly lower profits than 2013 results. Steve will cover further details, as well as our fourth quarter results, in a moment. So as we look ahead with expectations for the coming year, we anticipate continued challenges based on the state of the national economy, conditions in the geographic markets we serve within our own operations, challenges that have the ability to directly impact our financial results as has been the case in recent years. The national economy is forecasted to remain sluggish throughout 2015. Similarly, mixed project projections for employment growth do not appear to support employment gains in the area of 300,000 jobs per month, a level we feel is needed to positively impact our traditional uniform rental opportunities for the long term. As a reference point, according to the BLS, the U.S. has been averaging monthly job adds closer to $200,000 range over the last few months. We expect to be fully further challenged by stronger-than-ever competition, ongoing customer pricing pressure, the effect of new account sales and customer retention. And we also expect to be faced with internal operational cost increases related to evolving government regulations, our ongoing CRM system overhauling project, labor staffing and healthcare for our team partners, all line items that have an effect on the bottom line. So to overcome these challenges ahead, we, as a company, will continue joining together to deliver only the highest quality service and products to our thousands of business customers with the speediest response time to maintain our current client base. Our sales team coast-to-coast will continue improving upon their productivity and personnel consulting skills, and we will consider any business acquisition that makes good sense for us in order to grow our current customer base. And all and the while, our operations will maintain optimum operational efficiencies, strict cost controls at all levels to help support the bottom line. This back-to-basic approach has historically proven successfully for UniFirst, and we fully expect it to produce solid results for UniFirst's shareholders of fiscal 2015 as well. And with that said, I'd like to turn it back over to Chief Financial Officer, Steve Sintros, for the detailed review of all the 2014 numbers and our outlook for 2015.
Steven S. Sintros: Thank you, Ron. Fourth quarter revenues, as Ron mentioned, was $352 million, down 0.3% from $352.9 million a year ago. Net income for the quarter was $28.9 million or $1.43 per diluted share, down 5.5% from $30.6 million or $1.52 per diluted share reported a year earlier. Full year revenues were $1,395,000,000, up 2.9% from fiscal 2013. Full year net income was $119.9 million or $5.95 per diluted share, up 2.8% from $116.7 million or $5.81 per diluted share reported in the prior year. As a reminder, fiscal 2014 was a 52-week year compared to fiscal 2013, which included 53 weeks. The extra week a year ago was included in fiscal 2013's fourth quarter. Excluding the estimated impact of the extra week, fourth quarter revenues and income from operations both increased 7.4% and full year revenues and income from operations increased 4.8% and 5.7%, respectively. Net income, excluding the effect of the extra week, increased in the quarter and full year by 1.7% and 4.7%, respectively. The quarterly comparison was limited by a higher effective tax rate of 39.4% in the most recent quarter compared to 36.5% in the fourth quarter of the prior year. This increase was partially due to a change in the mix of our jurisdictional earnings. In addition, the final quarter tax rate a year ago benefited from certain refunds and credits not presently in the recently ended quarter. We expect, going forward, our full year fiscal 2015 effective income tax rate will be approximately 38.5%. Revenues in the Core Laundry Operations for the fourth quarter were $321 million, up 0.2% from those reported in prior year's fourth quarter. Excluding the negative impact of the weaker Canadian dollar and the extra week, as well as the positive contribution from acquisitions, the Core Laundry Operations revenues grew 7.5%. Revenues for the quarter were driven by several factors, including record levels of new account sales not only for the quarter but the full year. Quarterly and full year customer retention levels, as well as wearer additions versus reductions, were also improved from a year ago. Additions versus reductions, however, remain negative. Current quarter revenue growth also benefited from higher levels of merchandise recovery charges, the timing of our annual price increases as well as specialty merchandise buyouts. Core Laundry operating income during the quarter, excluding the estimated impact of the extra week, increased 8.9% and operating margins increased slightly to 14.3% from 14.2% a year ago. The margins during the quarter benefited from the strong revenue growth when excluding the effect of the extra week. These benefits were partially offset by higher legal costs related to the ongoing litigation surrounding the New England Compounding Center matter. Revenues for the Specialty Garments segment for the fourth quarter, which consist of nuclear decontamination and cleanroom operations, were $19 million, down 4.4% from $19.9 million in the fourth quarter of 2013. This segment's income from operations for the quarter was $0.1 million compared to income from operations of $1 million in the fourth quarter of a year ago. Less project-based revenues for this segment's U.S. and Canadian nuclear business was responsible for these shortfalls compared to the prior year as well as the impact of 1 less week of operations. First Aid segment revenues decreased 4.5% to $12 million in the quarter compared to 12.5% -- $12.5 million a year ago. Excluding the impact of the extra week of operations, First Aid revenues increased approximately 2.2%. Income from operations for this segment increased to $1.4 million in the quarter from $1.1 million in 2013. The increase in profitability for this segment was primarily the result of lower merchandise costs as a percentage of revenue compared to a year ago. UniFirst continues to maintain a solid balance sheet and financial position. Cash provided by operating activities for the full year was $194.6 million, down 8% compared to $211.6 million for fiscal '13. The reduced operating cash flow was primarily the result of a higher level of investments in our inventories and merchandise and service, as well as the impact of the extra week of operations in 2013. Capital expenditures during fiscal 2014 were $91.8 million. As Ron mentioned, we continue to invest in our Unity 20/20 CRM systems project and capitalized $13.5 million related to this project during the fiscal year. We also continue to invest in plant updates, expansions and automation that will allow us to achieve our long-term strategic objectives. We expect capital expenditures in fiscal 2015 to be between $90 million and $100 million. Year-to-date, the company has not expended any significant capital on acquisitions. Subsequent to year-end, however, we completed an acquisition of a 1 plant operation in Indiana, which will add approximately $5 million to our revenues in fiscal '15. We continue to look for additional acquisition targets, as acquisitions remain an integral part of our overall growth strategy. Cash and cash equivalents at the end of the year totaled $191.8 million, down from $197.5 million at the end of fiscal '13. Although our cash levels declined during the year, it was primarily due to our repayment of $100 million in private placement notes that came due in September of 2013. Of our cash on hand at year-end, $63.5 million has been accumulated by our foreign subsidiaries and intended for future investments outside the United States. The company also continues to have significant capacity under its existing bank line of credit to fund potential acquisitions or other capital allocation options. At this time, I would like to provide our initial outlook regarding our operating results for fiscal '15. We expect that revenues from fiscal '15 will be between $1.45 billion and $1.47 billion and full year diluted earnings per share will be between $5.75 and $6 a share. On the revenue side, the midpoint of our range assumes Core Laundry Operations organic revenue growth coming in at approximately 5.2% in fiscal '15. Our guidance also includes approximately $5 million in revenues from our recent acquisition in Indiana. We do expect that this acquisition-related growth will be offset by lower Canadian exchange rates, which at current levels are about 4% below fiscal 2014's average. We expect a flat top line performance for our Specialty Garments segment and low-single digit revenue growth from our First Aid group. We are currently projecting our Core Laundry operating margin in fiscal '15 to be between 13.5% and 14%. These assumptions include margin pressure coming from merchandise amortization and healthcare costs. Full fiscal year 2014 margins benefited approximately 0.5 point from lower merchandise costs as a percentage of revenues. Based on the merchandise we have put in service over the last 6 months in particular and other factors, we now anticipate this impact reversing in fiscal '15. Earlier in the year we communicated that the combined impact of the Affordable Care Act's requirements, normal annual increases in our healthcare costs and other changes in employee benefit programs will likely pressure our operating margin between 35 and 65 basis points in fiscal '15. Based on the data from our annual enrollment event in August, we continue to expect pressure from our healthcare cost in fiscal '15. However, the higher end of this previously communicated range now appears less likely. We also would like to continue to update you on our Unity 20/20 CRM systems project. Based on current project timelines, we don't anticipate beginning deployment of this system to our locations in fiscal '15 and therefore have assumed no impact from depreciation of our investment in fiscal -- in our fiscal '15 guidance. However, our current year guidance does include additional costs related to other investments in IT infrastructure, including headcount, to help support this and other technology initiatives. On the positive side, we do anticipate profits from our Specialty Garments segment to be up approximately 10% in fiscal 2015 compared to 2014. Although not returning yet to the profit levels from a few years ago, we do expect -- we do continue to expect that this segment will show a more substantial rebound in the years ahead. In summary, we expect another solid year of growth and profitability in fiscal 2015. We do want to emphasize that projections related to our revenues and certain costs, including merchandise amortization and healthcare, can differ materially from our expectations. We have also seen, in the last weeks, tremendous volatility in the world markets as well as other economic drivers, such as the price of oil. Based on our strong presence in Texas and the surrounding markets, a significant decline in oil prices could negatively impact those economies and, as a result, have a corresponding impact on our operations. We currently do not have any impact built into our current guidance for a further deterioration of the U.S. economy as a whole or any particular geographic or vertical markets within the economy. This completes our prepared remarks, and we would now be happy to answer any questions that you might have.
Operator: [Operator Instructions] Our first question comes from the line of Andy Wittmann with Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I wanted to just dig in, I think, to start, on the revenue trends. And just wanted to get a better sense about some of the drivers there. Steve, I heard you say that add stats were negative, but not as negative as last year. But can you maybe give us a sense of just directionally if price was a benefit to this year's numbers and the level of new business out there, maybe the complexion of no programmers versus competitive wins?
Steven S. Sintros: I'll start, Andy, and then I'll turn it over to Ron for a little bit more on the new sales. As you alluded to, I think the current quarter was helped by all of those factors. Price certainly was and continues to be a factor -- positive factor in our growth numbers, a little more or so in the quarter than in some of the prior quarters. I also did mention a couple of specialty merchandise buyouts that we did have that helped the quarter, which are situations where a customer maybe changing garments and have unique garments that they're required to buy out if they change styles during the course of the contract. So we had a few things like that, that helped the quarterly numbers. As far as the add...
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Can you quantify that one, Steve? If the buyouts -- was it material to the -- is there a couple of 0.1% of growth due to that?
Steven S. Sintros: Yes, it was probably a couple -- it was probably 2/10 or 3/10, Andy, I mean, there was -- a piece of the puzzle, but not an overly dramatic driver. As far as additions versus reductions, as I said, the benefit from additions versus reductions being better than a year ago and retention all certainly had an impact on the quarter. As far as directionally, adds, reductions I think throughout most of this year trended a little bit better than last year. I'm not sure in the current quarter they were dramatically better than the third quarter. So I wouldn't say at this point we're seeing a real pickup, but a slight improvement across the board.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. Then maybe on the margin side, with margins relatively flattish in the core segment, underlying good operating leverage, or what I would expect to be good operating leverage, you guys called out legal cost. Can you quantify that for us so that maybe if we pulled that out and get a better sense of what the operating leverage would look like?
Steven S. Sintros: We probably don't want to quantify fully the legal cost. I mean, there were a few moving parts in the quarter. That was one of them. It's probably in the neighborhood of 2/10 or 3/10, again. One of the things that we did mention with respect to next year's guidance and started to impact the current quarter is merchandise cost coming. It has been a benefit all throughout the year. It was a slight benefit in the fourth quarter, but less so than it had been in prior quarters. So that's certainly something that we're concerned about moving into the next year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Yes, that was interesting to me. Cotton prices are down. That was the driver of inflated merchandise costs before. Is this just because you're having to amortize more garments because of new sales and more garments are now being amortized and are at cost instead of fully amortized garments? Or is there some other dynamic at play there?
Steven S. Sintros: So one of the factors that obviously impacts merchandise cost is, like you said, the cost of the inputs. But you're correct, this is more the quantity of garments that we're putting in service. Part of that is certainly in a year that we had more new sales than we've ever had a part of it. But that being said, we've always said that the majority of the garments we put in service in any given month, quarter or year are really garments to replace existing garments in our existing customer base versus new sales. We go through periods of cycling up and down, putting more or less garments into service to our existing customer base. And over the last 6 months of this year, we've certainly put quite a bit more in service, particularly in the fourth quarter. It really can be impacted by a number of factors. It can be impacted by customers, and there are some large customers we have going through an image change. There are some customers simply looking for a different type of garment, maybe a protective garment. We still have some convergence going on from standard to protective garments. So it's always going to be kind of a cycling effect. And right now, we're seeing it cycle higher and anticipate it impacting our year as a result.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then maybe just one other question on the quarter before we look a little bit more forward. But the extra week, can you just remind us what the impact of that was on the margin specifically? Was there any mismatch between revenues and costs that impacted the year-over-year comparison? Just a reminder on how that works would be helpful.
Steven S. Sintros: Yes, there's really not, Andrew. On the revenue side, the impact -- and let me just talk about the laundries, but it's really the case for the whole company as well. It impacts the -- in a quarter about 7.6% on the revenue side. On the margins, it really doesn't have any particular impact. When we called out some numbers, excluding the extra week in our profits, it's really just a mathematical exercise saying what would last year's fourth quarter profits had been if we had 13 weeks instead of 14 and comparing that to this year. So your margins effectively that we're reporting for the adjusted numbers are really the same. The cost don't always come in that perfectly over 14 weeks, but that's really the only way we can kind of characterize it, is that it should not really have any significant difference in margin.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it. All right. So I just wanted to do a couple more here in capital allocation then I will yield the floor. But did I hear CapEx of $90 million to $150 million was the outlook for '15?
Steven S. Sintros: No, I'm sorry, $90 million to $100 million.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: To $100 million? Okay. That could have been just me, that helps. And then just, Ron, I have to ask you. On the balance sheet here, any new developments in terms of putting that to work in terms of buyback, special dividend, preference there versus M&A and the number of deals there in the market? Are you feeling any sense of urgency to do something with the balance sheet here?
Ronald D. Croatti: Well, the only thing I want to do, Andrew, is we keep it for acquisitions and we keep looking and we pick up what makes good sense to us. I mean, I don't know if the other guys are picking up anything. But when we see something that fits our plan, we pick it up and -- it's going to -- I think consolidations will continue. It's just timing.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Can you remind me just -- if on the special dividend, if you were to do a special dividend, not saying that you are, but if you were, is that affect -- is the special dividend affected by the 90% of the A share dividend? Is the B share getting 90% of the -- on the regular dividend, there's a 90% haircut -- or a 10% haircut to the dividend. Is that still the case for a special dividend as well?
Steven S. Sintros: We haven't done a special dividend in the past, but I believe that it would be the same, Andrew.
Operator: [Operator Instructions] Our next question is from the line of Kevin Steinke with Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: I wanted to delve a little bit more into the organic growth in Core Laundry. You had a nice sequential pickup there to 7.5%. Now your midpoint of guidance implies 5.2%. So any factors in there that you think might cause a little bit of a deceleration from what you just did? Or is there just some general caution built in there as well?
Steven S. Sintros: I think the answer is a little bit of a combination of the both, Kevin. In the current quarter, we mentioned some of the items that helped the current quarter, some of these buyouts. I also mentioned the timing of our annual price increases. We do a fair amount of our annual price increases around the beginning of our fiscal year. We don't like to do them right around the Labor Day holiday based on operational reasons with running our routes. And this year, we did that increase a little earlier than in the past. So we had a little bit of a more than normal impact on the quarter -- on the fourth quarter from that price increase. But your point is a good one. Even excluding some of those unusual items, it still was a fairly strong quarter. Historically, we see some dip in the fourth quarter in activity. And this year, we didn't really see that and we're not 100% sure why. I think part of it was a lot of activity with accounts, changing out garments and some other things that helped some of our extra charges. And so although it was a strong quarter, it did accelerate. We're probably being somewhat cautious going into next year just with some of the strength, whether we'll be able to kind of match the strong sales from this year, which were the most we've ever had and some of the other things. So your point is a good one. I think the 7.5% is a little inflated by some of the onetime items. But I think we expect next year to be in that mid-single digit range, give or take.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay, great. And on the pricing environment, how would you characterize that in terms of the annual price increases you have made and your ability to get those price increases and your customers' willingness to accept them? I mean, any meaningful change or any additional color on that?
Steven S. Sintros: I think it's really just been more of the same. I mean, I think, as we've always said, good pricing comes with good service. I don't think we've seen any change from the trends. Where we do a good job servicing our customers, we were able to obtain a fair price. And so I think that, that continues and we expect it to continue as long as we continue providing good service.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: Okay. And then on the merchandise amortization, you said, I think, it was a benefit of 0.5% in fiscal '14 and -- but that you expect it to reverse to a headwind in fiscal '15. Any more color around the magnitude of the reversal? Or is it kind of too early to tell?
Steven S. Sintros: Well, it is early to tell. I think built into our expectations is somewhat of a reversal of that 0.5% to go from a benefit to -- back to a headwind of about 0.5%, which if you think about what that's really doing is it's saying your merchandise went down 0.5% last year, it's going to go back to where it was really the year before as a percentage of revenues. And that's kind of why we talked about this cycling effect over the years, where sometimes you just go through periods. Some of it can be competitive pressures, some of it can simply be customers redressing, changing image, all these different factors. And sometimes, it's difficult to pinpoint why it cycles up and down. But certainly, over the years, we've seen that effect. And based on what we've put in late this year, that's sort of in the range of what we're projecting next year.
Operator: Mr. Sintros, we have no further questions at this time.
Ronald D. Croatti: Okay. Gee, caught us off guard here for a second. We're looking for more questions. We'd like to thank all of you for your interest in UniFirst and our fiscal 2014 performance, and we're looking forward to talking to you again in January when we'll be reporting our first quarter for fiscal 2015. Thank you, and have a great day.